Operator: Good morning, ladies and gentlemen, and welcome to the Cargojet Conference Call. I would now like to turn the meeting over to Mr. Martin Herman. Please go ahead.
Martin Herman: Good morning, everyone, and thank you for joining us today on this call. With us on the call this morning are Pauline Dhillon, Co-Chief Executive Officer; Jamie Porteous, Co-Chief Executive Officer; and Sanjeev Maini, our Vice President of Finance. After opening remarks about the quarter, we will open the call for questions. I would like to point out that, certain statements made on this call such as those relating to our forecasted revenues, costs and strategic plans are forward-looking within the meaning of applicable securities laws. This call also includes references to non-GAAP measures, like adjusted EBITDA, adjusted earnings per share and return on invested capital. Please refer to our most recent press release and MD&A for important assumptions and cautionary statements relating to forward-looking information and for reconciliations of non-GAAP measures to GAAP income. I will now turn the call over to Jamie.
Jamie Porteous: Thank you, Marty. Good morning, everyone, and thank you for joining us on the call today. As we've done in the prior quarters, Pauline and I will share our prepared remarks, and then we will open the call up for questions. We are extremely pleased to be reporting exceptional overall revenue growth of 32% for the fourth quarter of 2024. This is in stark contrast to a subdued Q4 that we experienced in 2023. Our total domestic network, ACMI and charter segments achieved record revenue of $251 million during the quarter, excluding fuel surcharge and other revenues, and we reached $1 billion in revenue for the first time. This quarter isn't just about exceeding expectations. It's about demonstrating the resilience, innovation and operational excellence that define our organization. As I noted in prior remarks, in the fast-changing landscape of supply chains we have been successful in identifying and then executing on new market opportunities that are yielding strong results. During the quarter, we continued to opportunistically allocate capacity to high-demand areas, including ACMI and charters, and it is certainly paying off. It is part of the reason that we made the proactive decision last year to expand our fleet and currently have four 767-300 freighter aircraft on delivery and/or in the conversion process and expected to be delivered in 2025. We will also be returning our last leased aircraft at the end of April 2025, leaving a net increase of three aircraft to support growth and our increased maintenance requirements for a fleet of our size. At the same time, I recognize that, there's a lot of concern and anxiety in Canada about potential tariffs and the related dislocations in the supply chains and the potential impact on our business. Let me share a bit more context on how Cargojet fits into the North American supply chains, much of the commodities that are carried between Canada, the US and Mexico travel via truck and rail. Cargojet's business on the other hand, primarily supports e-commerce volumes on our domestic Canadian overnight network, our dedicated ACMI routes globally and ad hoc and scheduled charters for multiple and varied commodities and services around the world. Consumer products arriving from Asia and entering Canada, much of that tonnage moves on ocean freight from Asia to Canada. These products then get shipped to domestic customers in small packages from Canadian warehouses, benefiting our Canadian, our Canada overnight network. Our scheduled charter services from China to Canada were specifically and deliberately targeted to serve the Canadian market, leveraging our domestic network, avoiding the US market and any potential tariff restrictions. As manufacturers across the globe plan shipments directly into Canada to avoid any potential U.S. tariffs versus routing them through Mexico and the United States, it may present new opportunities for Cargojet, although this remains a very fluid situation that we are continuing to monitor closely. Now for some financial highlights for the quarter. We achieved ACMI revenue growth of 29% and all-in charter revenue growth of 136% versus the same quarter last year. As I noted earlier, this clearly demonstrates the core strength of our entrepreneurial business model through the deliberate allocation of capacity to growth areas. Although we posted a modest growth in our domestic network revenues, it is worth noting that Canada Post was on strike for almost the entire peak holiday shipping season, dampening some of the volumes that would otherwise have flown on our network. Q4 adjusted EBITDA of $91.7 million grew 12.4% versus the prior year. With the block hour growth of 16% in Q4 on, as I note, the same fleet size, we had higher start-up costs including crew costs as we ramped up to meet the growth. We expect these cost pressures to subside over the longer term. In terms of our capital allocation strategy, we generated strong operational cash flow of $103.6 million in Q4 versus $31 million last year. Our full year adjusted free cash flow ended up at $183.7 million versus $64.4 million in 2023. We erred on the side of higher growth CapEx in Q4 given the growth opportunities we are pursuing versus our previous guidance. More importantly, we maintained our net debt to adjusted EBITDA leverage ratio at 2.3 times as at December 31, 2024 versus 2.6 times at the end of 2023. This is well within our stated targets. We achieved this strong leverage ratio despite continuing our share buyback program. During 2024 we bought back 1.1 million shares under our NCIB program for a total cost of $128.8 million. Our dividend policy remains consistent with previous years. We are very confident that we will continue to identify new opportunities for Cargojet as we navigate shifting global supply chain demand successfully. Our direct exposure to U.S. tariffs is very limited and we remain optimistic about our future. We will continue to leverage our unique mix of domestic Canada network, ACMI and All-in Charter segments to maximize aircraft utilization and direct capacity to growth areas as required. This was a tremendously successful first year in our roles as Co-CEOs and I want to thank Pauline for being an outstanding partner and collaborator. Together, we look forward to continuing to grow the business and provide outstanding value for all stakeholders. Let me now pass the microphone over to my colleague, Pauline.
Pauline Dhillon: Thank you, Jamie, and good morning, everyone. To start off, 2024 has been an incredible year, marked by many successes, including a historic milestone for Cargojet, reaching $1 billion in revenue for the first time in our history. This has been a remarkable journey for a small team that started under the entrepreneurial dream and vision of our Executive Chairman, Ajay Virmani with just two cargo aircraft. This achievement is a true testament to the driving force behind Cargojet, our incredible and dedicated team. The solid growth across each of our business lines that Jamie spoke about requires flawless execution on the ground. We are not just operating, we're operating smarter. Our strategic focus on maximizing asset efficiency and empowering our people has resulted in a game-changing 16% boost in block hours flown from our existing fleet. This isn't incremental improvement. It's a fundamental shift in our operational capabilities. Every single member of the Cargojet team rose to the occasion throughout the year delivering an outstanding 99.1% on-time performance, well above our customers' targets even in the face of demanding weather conditions. Labor disputes created a significant dislocation in the parcel market, requiring us to swiftly adjust our network and operations across the country to align with the rapidly evolving ground network of our customers. Our resilience and customer obsession mentality drives us to anticipate and respond to their needs, ensuring we continue to provide reliable and seamless service in an ever-changing environment. We have become global leaders in the air charter industry and are methodically managing our fleet to create capacity for new ad hoc charters while increasing the frequency of scheduled charters to China. This strategy has resulted in a 136% growth in all charter revenues in Q4 versus the prior year. Our global reputation for flexibility, responsiveness, on-time performance and reliability continues to strengthen, positioning us as the preferred choice for charter services. We methodically manage our costs and offer competitive pricing to protect and grow margins while maintaining our commitment to excellence in charter operations. As we move forward in 2025, one of our key goals is to continue building new capabilities in information technology to keep pace with our growth. We're also focused on strengthening our finance team, adding new talent to support a disciplined approach to pricing, margin management and overall financial discipline. This combined effort will ensure we remain agile, efficient and financially robust. Rapid growth often comes with short-term cost increases, which was the case in Q4. But as we streamline processes and build staffing and scheduling for the new higher level of revenue, we expect these onetime costs to normalize as the rest of 2025 unfolds. Costs continue to be a priority for us. As Jamie noted, we are closely monitoring the geopolitical and trade and tariff developments and remain prepared to adapt our business to new trade flows and new supply chains. While unsettling at times, we see these challenges as new opportunities. Based on the recent meetings we have had with our key customers, changes in supply chain are likely to emerge as new opportunities. Those with the available fleet capacity will be able to take advantage of these dislocations versus those with no flexibility at all. It is indeed a privilege to be partnering with Jamie on this remarkable journey. As we complete our first year as Co-CEOs hitting the $1 billion revenue milestone has made this year both historic and fulfilling. This achievement is a reflection of the dedication, resilience and commitment to excellence that defines Cargojet. Every takeoff, landing and on-time delivery is a testament to the strength and the passion of our team. The only constant seems to be change and we see no shortage of opportunities. Thank you again for joining us this morning. We'll ask the operator to please open the line for questions.
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] The first question is from Matthew Lee from Canaccord Genuity. Please go ahead.
Matthew Lee: Hi. Thanks for taking my question. Maybe just first one on the fleet side. Can you maybe just dive into what opportunities exist that made you decide to add to your fleet? I mean, is there a discrete opportunity that you're looking to take advantage of? Or is this more about the general demand and flexibility you're looking to have going into 2025?
Pauline Dhillon: Good morning. I'll take that question. It's Pauline. Yes there are opportunities. As we stated in our remarks we have an opportunity to have segment frequencies into China. We have a customer that's looking for dedicated service and a route to South America. So we rejigged the fleet to ensure that we continue to meet our customers' needs. Ad hoc charters have really increased as you saw in the numbers. Ad hoc charter is something that we're really going to focus on in 2025. There's tremendous opportunity there. And we had to turn a number of charters away last year because we didn't have the lift. So us realigning the fleet has been purely on demand by our customers and what we see the market to potentially be for 2025. The other thing that we really are concerned about is the aircraft utilization. We need the aircraft down to do more maintenance checks. The aircraft are being utilized more. As you can see we flew a lot more in 2024. The aircraft need to come in. They need to have health checks. So we're really focusing on the aircraft the fleet where we're acquiring four aircraft, but one is leaving the fleet I believe in April. So we're really just up three aircraft for which we have an opportunity to utilize all of them.
Matthew Lee: Okay. That's helpful. And then maybe just on that Great Vision contract. I think our math suggests you were flying six or seven routes a week this quarter for that contract. Is there still opportunity to grow from beyond that range? Or other conversations you might be having with other players in Asia to do similar e-commerce shipping work from there?
Jamie Porteous: Hi, Good morning, Matthew, it's Jamie. Yes the answer to your question is, yes. We were -- during the fourth quarter we were flying on average probably five or six frequencies a week to and from China against a contract that had a minimum of three frequencies per week. The customer in fact as Pauline was noting has a desire -- had a desire in the fourth quarter for us to do up to seven freight daily frequencies to China. We just didn't have the aircraft to do it. And that's one of the reasons why we're adding aircraft. Just to add to Pauline's comments I think last year at this time when we were sitting here we were talking about the expectation, which I think was probably a little skeptical or received skeptically by a lot of people that we could grow the revenues by 15% to 20% with the existing fleet in 2024. And we in fact did that. We grew revenues overall by 14%. But if you backed out the -- I think there was a 20% drop in fuel surcharge revenue, the actual growth was significantly higher than the 15% to 20% with the existing fleet. We want to continue to grow the business. It's not possible to continue to grow beyond that -- beyond what we achieved in 2024 without adding aircraft to the fleet. So that's -- and as we also noted last year when Pauline and I first came into the Co-CEO roles that as part of our growth CapEx, we wouldn't -- coming off the tail of our decision to back out of the 777 aircraft, I think we reinforced that we wouldn't be adding aircraft without firm revenue commitments going forward. And as Pauline just articulated, a combination of the capability of being able to do daily flights to China, the opportunity with a major customer in South America, the 136% growth that we achieved year-over-year in ad hoc charters, we want that trend to continue but we're maxing out the capacity and the capability with our existing fleet. We can't do that without adding more aircraft and as Pauline said the increased maintenance requirements for a fleet of our size.
Matthew Lee: Okay. That’s helpful. I appreciate the color.
Operator: Thank you. The next question is from Cameron Doerksen from National Bank Financial. Please go ahead.
Cameron Doerksen: Yeah. Thanks very much. Good morning. Just to follow-up on I guess the fleet question, I guess, maybe two questions here. One, it looks like you're adding a factory-built freighter, which feels like maybe it's a departure from what you've normally done. So maybe you can just talk a bit about that and then how that opportunity I guess arose? And then secondly, do you have any I guess outlook for what your CapEx plans are for 2025 in dollar terms?
Jamie Porteous: Yeah. I'll take the first part of that Cameron. On the -- there's really no factory freighter versus a converted freighter. It's more in terms of availability. I think Cargojet has always demonstrated that we've been very opportunistic about either finding feedstock that's available and finding slots that are available to convert aircraft that are available in conjunction with the time frame where we have the revenue opportunity to grow that business, the same with the factory freighter. It just happened to come along. There's no specific reason for us looking at a factory freighter versus a converted freighter other than availability. In terms of CapEx, I'll maybe ask Sanjeev to give you a sense of both growth and maintenance CapEx going forward.
Sanjeev Maini: Hi. Sanjeev here. Just to give you a color on growth and maintenance CapEx for 2025, we are expecting a total cost of between $80 million to $85 million for acquisition of aircraft. Some of this cost like definitely they are more costly than this amount. So we bore some costs in 2024 and this is the balance payment, which we will pay in 2025. As far as maintenance CapEx, we have estimation of the cost between $160 million to $180 million approximately. And this primarily will be due to engine overhauls. These engine overhaul events are based on slots availability and fleet requirement to maintain the high level of operational efficiency. So based on that we will incur expenditure during the course of the year.
Cameron Doerksen: Okay. So just to confirm the numbers, growth CapEx $80 million to $85 million; and maintenance CapEx, $160 million to $180 million?
Sanjeev Maini: Yes.
Cameron Doerksen: Okay. Perfect. Okay. I’ll leave there, I’ll pass the line. Thanks very much.
Operator: Thank you. The next question is from Konark Gupta from Scotiabank. Please go ahead.
Konark Gupta: Thanks operator. Good morning everyone and congrats on a great feat in achieving $1 billion mark. For the first question maybe on margins, I'm just trying to understand if there's an accounting item I'm missing here. If I look at your EBITDA margin for the quarter, it's down obviously quite a lot from last year. But when I look at the individual cost items, be it aircraft or crew or maintenance or ground services or whatever, every single cost item as a percentage of revenue was similar or better than last year. So, is this something I'm missing in EBITDA margin calculations? Because I understand obviously you're ramping up, but I cannot see those cost items going up as a percentage of revenue this year.
Sanjeev Maini: Konark, Sanjeev here. EBITDA margin dropped a bit in Q4 primarily due to our incentive payment which was more concentrated in Q4. So that you will see in SG&A cost and definitely some costs related to deicing that is a seasonal cost again that happened in Q4. So those are two major contributors of costs that dampened the EBITDA margin a bit.
Konark Gupta: I see. Okay. Thanks Sanjeev for that. Then, moving on in terms of the growth outlook, so it seems like, you have the China contract. That will be the first full year this year in '25. And then like DHL contract also seems to be ramping up. How should we think about your overall growth aspirations this year? You talked about obviously Jamie that the tariffs are not as applicable to your business as it is perhaps for like rail, truck, ocean et cetera. So how should we think about your growth outlook by segment for 2025?
Jamie Porteous: Good morning, Konark, thanks. No, you're right. Even though, we feel that tariffs are not -- we're not directly exposed or as directly exposed as if we were a US-based carrier. There's still some uncertainty on what the impact from a macro standpoint would have on the overall economy and on inflation, on interest rates, on -- ultimately on consumer spending, especially discretionary consumer spending. So we're a little cautious about that. But we are optimistic that we're going to continue. And as we noted with our growth CapEx investments that we're going to continue to grow. The one that would be a little softer I guess is the domestic business. The ad hoc charter as we noted, I think we're going to continue as Pauline noted, we missed out on a significant amount of additional incremental business because we just didn't have the aircraft or crews available to take on that business. We're going to -- that's why we're adding aircraft this year. So we're going to continue to see significant double-digit growth in our ad hoc charter business over the next year. Our ACMI and our domestic, I would suggest would be conservatively in the high to -- the high-single-digit 7%, 8%, 9% in that range considering we got a CPI rate escalator on the inflationary increases during the year and then some organic growth on top of that.
Pauline Dhillon: Yes. And I just want to add to what Jamie is saying Konark, Cargojet is uniquely positioned to excel during tariffs and may even benefit from direct shipments to Canada versus carriers going into the United States. So we'll see how this plays out, but we're hopeful that we see more freight coming into Canada.
Konark Gupta: Great and thanks for the color, guys. Thanks. And if I can just squeeze last one follow-up with the Amazon situation in Canada. Recently there was some news about Amazon pulling out of Quebec. How does it -- like, how does it really matter to your business with Amazon given you're, obviously, the carrier for them in Canada?
Jamie Porteous: Yes. If anything, it's an opportunity -- growth opportunity for us, because with them pulling out of their distribution and fulfillment centers in Quebec, they're going to have to source more product from other fulfillment centers and warehouses across Canada, and we're uniquely positioned with our agreement with them on both the charter, but on a BSA basis, particularly to -- because they're certainly -- from a customer service standpoint, they're not lessening the service delivery. In fact, they're enhancing delivery all across the country with earlier deliveries 4:00 a.m. to 7:00 a.m. deliveries and we continue to see strong -- significantly strong double-digit growth from Amazon in Canada next year and beyond.
Konark Gupta: Great. Thanks for the time.
Jamie Porteous: Thank you.
Pauline Dhillon: Thanks Konark.
Operator: Thank you. The next question is from Walter Spracklin, RBC Capital Markets. Please go ahead.
Walter Spracklin: Another great quarter here. Charter, you mentioned, was driven by international. Just curious was there any Canada Post in that as customers found other ways to ship during the strike? Did that bolster your charter revenue? Or would that have bolstered your domestic as they moved on to some of your existing domestic customers in the quarter?
Pauline Dhillon: Good morning, Walter. It's Pauline. No, our charters have primarily been all international transborder but no, nothing with Canada Post.
Walter Spracklin: Okay. And the South American -- is that a new customer?
Pauline Dhillon: It's an existing customer, a new route.
Walter Spracklin: Okay. Got it. And Sanjeev, you mentioned, when you were giving us the CapEx breakdown in 2025, I think you mentioned some of the growth CapEx that you just quoted was incurred in the fourth quarter. Maybe I heard that wrong. Is the -- could you repeat the growth CapEx expectation for 2025, not including what you might have spent in the fourth quarter 2024?
Sanjeev Maini: It is $80 million to $85 million, Walter, for 2025.
Walter Spracklin: Okay. Got it. All right. Okay. And then on the -- as you -- maybe this is a question, I'm not sure for Sanjeev or Jamie. Is there -- when we look at your margins, as you add new aircraft, is there going to be a margin impact now in 2025 when you bring on a little bit – a few more aircraft than you normally would? Should we position for albeit margins that are going to improve -- or a cost trend that's going to improve in 2025, is there some margin impact as you add these new aircraft? Or do you expect the utilization rate in 2025 to be high enough to offset any potential start-up costs associated with the new aircraft?
Jamie Porteous: There may be a little bit Walter, but nowhere near what we incurred in 2024 when we ramped up to five or six -- particularly, the China program ramping up from May to five or six frequencies by the end of the year. With adding another frequency in 2025 once we take delivery of the next aircraft being able to do that, there'll be a little bit but not anything material.
Walter Spracklin: Okay. All right. That’s all my questions. Thanks very much.
Jamie Porteous: Thanks, Walter.
Pauline Dhillon: Thanks, Walter.
Operator: Thank you. The next question is from Tim James from TD Cowen. Please go ahead.
Tim James: Thanks very much. Good morning. My first question, the DHL agreement, could you give us a sense for how many aircraft were used for DHL over the course of the fourth quarter and what -- how many aircraft are being used currently and the outlook for that in 2025?
Jamie Porteous: Good morning Tim. It's Jamie. The fourth quarter, we were operating 18 aircraft for DHL at various times during the quarter. We've dropped back down to 16 going forward in 2025, and that's the plan right now.
Tim James: Okay. That's great. And then my second question, just -- and we've kind of been getting at this a little bit with some of the earlier questions just thinking about the charter revenue in the fourth quarter. I was looking back historically, obviously, some unique things going on in charter this year and in the fourth quarter. Should we think about this fourth quarter and the sequential up-tick from Q3 as being sort of the new norm for Cargojet going forward? I mean, typically, charter isn't as -- maybe as strong in Q4 relative to other parts of the year because the aircraft utilization is so high in the other parts of the business. I'm just trying to think about how we view this fourth quarter charter revenue on a go-forward basis and the seasonal up-tick and how normal this is going to be?
Pauline Dhillon: Yeah. Good morning, Tim. It's Pauline. Yes, we do see the up-tick. We will have crew and additional aircraft, which we traditionally didn't have before. So the answer to your question is, yes, we do anticipate to see continued growth in the charter area.
Tim James: Thank you very much.
Operator: Thank you. The next question is from David Ocampo from Cormark Securities. Please go ahead.
David Ocampo: Thanks. Good morning, everyone. I just wanted to ask Walter's question maybe a different way. I think, last quarter you guys called out some elevated training costs and a stronger US dollar and general inflation across the aerospace supply chain that could keep margins kind of at that 33.5% range. Does that still hold, out of curiosity? Or does the new aircraft that are coming into the fold change your 33.5% outlook?
Jamie Porteous: I mean, I think, our target is to improve that, David, over a period of time. As we said, we should normalize some of those one-time, particularly the crew costs and the overtime costs that we incurred as I said before, particularly ramping up to the number of frequencies we had with long-haul flights to China -- to give you an example, an aircraft operating to China that many days could reach probably 300 -- between 350, 400 block hours per month, where in a normal route, we probably fly less than half of that. But that should normalize as we go through the year. And our expectation is -- our expectation and our target is to be in the mid-30% EBITDA margin range.
David Ocampo: Okay. And then, in your ACMI business, I think you guys do have some minimum volume guarantees. So it does protect you somewhat if we do see a full-blown tariff war and a weaker Canadian consumer. But I'm just curious, how much is your ACMI business running above those floors just so we have some color in a doomsday-type scenario that your ACMI business may only drop 10%, 20% at worst?
Jamie Porteous: Yeah. We typically operate all of our major contracts, whether it's ACMI, whether it's the minimum take-or-pay volumes on the domestic network, typically run significantly above the minimum volume guarantee. So you'd have to see a significant increase or a significant decrease in demand before it impacted that.
David Ocampo: Okay. And then on those six routes that you are flying out of Cincinnati for DHL, just given the tariff uncertainty is DHL pulling any volumes forward ahead of the 30-day pause or the 30-day timeline that Trump set out? Or --
Pauline Dhillon: No, we haven't seen any of that, nor do we anticipate any.
David Ocampo: Okay. That's all the question I had. Thank you.
Operator: Thank you. The next question is from Kevin Chiang from CIBC. Please go ahead.
Kevin Chiang: Hi. Good morning. Congrats on a very strong Q4 there.
Pauline Dhillon: Thanks, Kevin.
Kevin Chiang: Maybe if I just think of block hour trends through 2025, obviously very strong growth in the back half of 2024 as you onboarded, The Great Vision HK contract and just I'll say broader recovery in all your end markets. Should we expect that to kind of I guess continue to grow in that mid-teens range through the first half of 2025 before you start lapping the tougher comps from the new contract win? Or are we comfortably let's say, still growing at a pretty decent clip even in the back half of 2025, just given some of the growth initiatives you've highlighted here?
Jamie Porteous: Yeah. I think it would be appropriate to expect that the block hours are going to -- sequentially are going to increase in the first at least the first quarter and part of the second quarter of 2025 versus 2024 again specifically, because of the increased growth of frequency to and from China on the ad hoc -- and our ad hoc charters. Our scheduled -- both the scheduled service to China and our ad hoc charters are going to continue strong. I would expect that the ACMI with DHL particularly and the domestic would stay relatively flat year-over-year.
Kevin Chiang: Okay. That's helpful. I guess, as you think of your ad hoc charter opportunity, I think one of the ways historically I guess even today Cargojet has taken advantage is as your fleet has grown your aircraft positioning has allowed you to take advantage of opportunities that come to light and your ability to respond pretty quickly here. As you think of ad hoc charter as more of a structural growth factor for you. I guess how do you think about your aircraft positioning? Like does that come into play as you think, of ACMI routes you might do so you have aircraft in different parts of the world to take advantage of opportunities that show up quickly? Or do you have to maybe proactively put these aircraft in other parts of the world to take advantage of it? Just I guess how do you think of fleet positioning as your fleet grows, and as you look to grow ad hoc as well?
Jamie Porteous: Yeah. No, Kevin, we've --up until now -- I mean this is the first year that we're actually adding aircraft to our fleet to specifically address some growth opportunities with our charter business namely the China business. As you know historically, we've never had an aircraft asset allocated to that revenue segment. We only used aircraft that were part of our domestic network or part of our ACMI fleet. And you're correct as -- where those aircraft -- and as we've grown those respective businesses over the last -- really over the last 10 years and increased where those aircraft are domiciled around the globe on weekends and even during the week has given us that's presented additional opportunities to utilize those aircraft for ad hoc charters. As we grow the fleet and add more dedicated aircraft we'll continue to grow the ad hoc charter business.
Kevin Chiang: Okay. That's helpful. I'll leave it there. Thank you very much.
Jamie Porteous: Thank you.
Operator: Thank you. The next question is from Tim James from TD Cowen. Please go ahead.
Tim James: Thank you very much. Sorry, I hope I can sneak in one final question here. You mentioned the fleet additions the aircraft coming in this year as a minor headwind, if I can even call it that. I think Jamie said it was immaterial. Are there any other headwinds or costs that we should think about that could impede any margin expansion this year? I'm open to sort of any ideas. I was wondering in particular about sort of compensation flight crew compensation. You talked last year about some of the pressures related to what's been going on around the industry in crew compensation. Just wondering, if you can identify other -- if there are any sort of cost pressures in 2025.
Pauline Dhillon: Yeah. It's Pauline. Yeah. We do. We are seeing some concerns minor ones on engine overhauls. We have a number of engines to overhaul, which are a requirement to do so, but we want to get the fleet healthy to ensure that we continue to provide reliable on-time service to our customers. Still pilot -- maybe in Q1, Q2, we're going to see a little bit of pilot overtime, but we are hiring to reduce this and mitigate it as best we can. We're also looking at our contract that comes out next year with the pilots. So there might be some -- a little bit of additional costs with the pilots and definitely some increased costs on the engine overhauls.
Tim James: Okay. Thank you so much.
Operator: Thank you. The next question is from Chris Murray from ATB Capital Markets. Please go ahead.
Chris Murray : Thanks guys. Maybe turning back to ACMI pretty good performance in the quarter. So, a couple of pieces of this. First of all, with Amazon moving out of the Quebec distribution centers, is there an opportunity to grow the business further with Amazon and maybe look at additional aircraft? And then the second piece of this, again, we're going to see a lot of change in trade flows would be, I guess, everyone's expectation. Can you see any kind of new opportunities in ACMI over the coming year?
Jamie Porteous: On the Amazon side, I think, I answered that earlier. Yes, there's growth opportunities. I don't know if they necessarily would translate into new aircraft on the domestic network although over a period of time, I don't think specifically because of the Quebec issue that you referred to, but certainly there's an increased demand and increased opportunity on our domestic network on a block space arrangement that Amazon participates in that will continue to grow as we -- as they use other fulfillment centers and warehouses across Canada to supply their customers in Quebec without the fulfillment centers being based there. So that's definitely an opportunity. The second -- sorry, what was the second part of your question?
Pauline Dhillon : Second question yes do we see opportunity on the ACMI for opportunities due to these tariffs? Yes, we're hoping that and we're looking for an opportunity and that's why we're getting ready with our charters is as well as the direct shipments flying direct into Canada versus going into the United States we feel like there will be opportunity there as well.
Chris Murray: Okay. And that brings me to the question about charters. Historically, for many years there was always a thought of maybe trying to keep the domestic business the ACMI business and charter business relatively balanced with charter being kind of the smaller piece of the bucket just because it can be volatile from time to time. What gives you the confidence right now that it's the right time to expand the charter business more and more? Because it sort of sounds like all these new aircraft are really going to be designed for that. Is there something in particular that you have line of sight to? Is it new customers and new markets opening up that makes you feel that you're going to be able to manage whatever that volatility could be?
Jamie Porteous: Yes. Hi, Chris. I think one of the most significant things that's leading us to add call it dedicated aircraft, but adding another aircraft to our fleet to allow us to expand the charter business is the opportunity to do daily frequencies to and from China. We just can't physically do that with the existing fleet that are flying dedicated to the ACMI and the domestic network. We can't do it without an additional airframe. So certainly that's leading to it. And then when you layer on the ad hoc charter opportunities that we've been able to capitalize on over the last couple of years particularly in 2024 growing that business 130-something-percent and I think I've mentioned before that the ad hoc charter business although it's somewhat unpredictable what is predictable is there's always demand for one reason or another. And we've established ourselves similar to what we've been able to do in the domestic and our ACMI business, our reputation for certainly flexibility, but responsiveness and capability to respond to very ad hoc charters are exactly, as they're defined. They're ad hoc. They're very quick. They need -- somebody needs -- they're not paying a premium to do the flight in six or seven days. They need to do a flight literally tomorrow or tonight, if that's possible. And our track record for success in that area gives us the confidence that we're going to be able to continue to grow that business and grow that market.
Chris Murray: All right. Thanks. I’ll leave there. Thanks, folks.
Jamie Porteous: Thanks, Chris.
Operator: Thank you. The next question is from Steve Hansen from Raymond James. Please go ahead.
Q – Steve Hansen: Yes, guys. Thanks for squeezing me in. Just a quick one, on the CapEx profile. It sounds like the maintenance spend this year will be higher than typical, I guess on some additional engine overhauls. Is that an intensity level, we should expect to continue into 2026? Or how should we think about that or maybe, it's too early?
Sanjeev Maini: It is too early to confirm that, but this is the year, where we have some engines, which are scheduled for overhaul. And based on the slots available, we are trying to put all of them in overhaul position. This may not be repetitive in next year. So, it all depends on how -- at what cyclic year, they are subject to overhaul.
Q – Steve Hansen: Okay. Appreciate the time. Thanks
Operator: Thank you [Operator Instructions] The next question is from Konark Gupta from Scotiabank. Please go ahead.
Q – Konark Gupta: Thanks, and just one quick one, if I can squeeze in. I think recently we have heard a little bit of concerns about your aircraft fleet age, I guess. And my impression was for Cargojet that, you guys tend to use the older aircraft, but you keep putting green time on the engines and buy new engines, et cetera. So can you remind us like has the strategy changed at all in terms of how you approach the fleet, given the concerns?
Pauline Dhillon: No, Konark, the strategy hasn't changed at all.
Jamie Porteous: Yes. And we've -- just to add, you're correct. We've always -- as most cargo airlines do, unless you're FedEx and UPS and buying factory freighters directly from the manufacturer, we've typically always -- our feedstock is made up of older generation passenger aircraft, the 767 and 757. Particularly in our case, the average age is probably plus 20 years now, in terms of the age of our fleet. But you're right, the real value in the aircraft are the engines. And as Sanjeev was pointing out before, engine overhauls and engine, replacements take probably seven, eight years depending on the life and the number of cycles on the aircraft is the real value, but we've not changed our strategy at all, and there's no concern about -- if the question was related to comments that that short seller in London, made earlier this year, about us having a massive CapEx expense requirement coming up to re-fleet the entire aircraft -- the entire fleet that's just absolutely not true.
Q – Konark Gupta: Great. Thanks for the clarification. Thank you.
Operator: Thank you. There are no further questions registered at this time.
Pauline Dhillon: Thanks again to everyone for joining us this morning, taking the time out. We appreciate it. Have a good rest of your day.
Jamie Porteous: Thank you everyone.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time, and we thank you for your participation.